Operator: Thank you for standing by. My name is Angela, and I will be your conference operator today. At this time, I would like to welcome everyone to the PublicSquare Third Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Mr. William Kent, Head of Corporate Affairs. You may begin.
William Kent: Thank you, Angela, and good morning, everyone, and welcome to PublicSquare's Third Quarter 2025 Earnings Conference Call. Joining me today are Michael Seifert, Chairman and Chief Executive Officer; and James Rinn, Chief Financial Officer. Before we get started, we want to emphasize that the information discussed on this call, including our outlook and guidance, is based on information as of today and contains forward-looking statements that involve risks, uncertainties and assumptions. We undertake no duty or obligation to update such statements as a result of new information or future events. Please refer to today's earnings press release and our SEC filings, including our 2024 10-K for factors that may cause actual results to differ materially from our forward-looking statements. We'd also like to point out that we present non-GAAP measures in addition to and not as a substitute for financial measures calculated in accordance with GAAP. I'll now hand the call over to Michael. Michael, please go ahead.
Michael Seifert: Thank you, Will, and welcome, everyone, to our third quarter 2025 earnings call. We appreciate you all joining us today. And to get us started, I would like to share some of our most notable highlights from the quarter. It was a big one for us. First, we beat our previously issued revenue guidance by 10%, and we are proud to reaffirm fourth quarter 2025 as well as full year 2026 revenue guidance. Secondly, our fintech revenue increased 28% quarter-over-quarter with our payments revenue increasing 50% quarter-over-quarter and our credit revenue increasing 22% quarter-over-quarter. Third, 1 year ago, we spoke about how the investments we made in 2024 paired with the restructuring of our business that took place in November of 2024 would lead to a drastic improvement in our ability to generate more revenue while reducing our spend. Today, I am proud and grateful to report that our efforts have paid off resoundingly. Our net loss has decreased by 33% compared to the prior year period, and our operating expenses decreased 13% compared to the prior year period. I'm incredibly proud of the way our team has executed. We're continuing to leverage strategies to increase our efficiency, and we are excited for this positive momentum to continue. Finally, our third quarter performance emphatically affirms our decision made earlier this year that we spoke about on the Q2 earnings call to streamline our focus and double down on fintech. We continue to see rapid growth in our payments business as we onboard new merchants who are passionate about our commitment to economic liberty and technological excellence. And we expect this momentum to carry into the fourth quarter with our robust onboarding pipeline and anticipated Christmas shopping activity. Additionally, our credit business remains healthy and is positioned to benefit from these same trends as we exercise the power of our bundled checkout offering that we speak about often. Looking to 2026, we plan to take advantage of significant opportunities to build upon our 2025 success. We're expanding our fintech platform with new services our merchants and customers have sought after, including private label credit cards, innovative fundraising tools, crypto payment capabilities and digital asset treasury management solutions. I will now pass the microphone to our wonderful CFO, James Rinn, to provide a deeper financial overview on our performance in the third quarter. James, please take us away.
James Rinn: Thank you, Michael, and good morning, everyone. Let's walk through the key financial highlights from the third quarter and year-to-date 2025 results. As a result of our decision announced on August 12 to monetize our Brands segment through the sale of EveryLife and to monetize our Marketplace segment through a sale or strategic repurposing of the Marketplace IP to complement our fintech offering, we are accordingly showing the results of both those segments and discontinued ops throughout our financial statements. In regards to revenue growth and financial performance, we reported net revenue from continuing operations of $4.4 million for the quarter ended September 30, 2025. That's a 37% year-over-year increase compared to $3.2 million in Q3 of 2024. As Michael mentioned, Q3 revenue beat our most recent revenue guidance of September of 2025 by $0.4 million or 10%. The breakdown of revenue illustrates the strength of our current revenue streams. As stated, fintech financial technology, which includes payment processing via PSQ payments and credit offering via Credova earned $4.4 million in net revenue, which, as stated, was a 37% increase over the prior period. This includes $1.5 million from our recently launched PSQ payments, an increase of 50% from Q2 of 2025. Year-to-date fintech revenue was $10.9 million, which equates to an increase of $4.3 million or 66% from the prior year. As noted, our credit business revenue increased by $0.5 million or 22% quarter-over-quarter to $2.9 million in Q3. The company enhanced the quality of its credit portfolio performance through greater use of AI-driven underwriting and machine learning. Our portfolio has demonstrated consistent improvement in early payment performance with first payment default rates declining and doing so in a challenging market environment. Regarding operating expense controls for continuing operations, I'd like to highlight the following. The company maintained strong expense discipline in Q3 and continued to optimize capital allocation. For Q3, general and administrative expenses reduced by $2.3 million or 22.3% compared to the same period last year. And year-to-date, G&A expenses decreased by 33% or $10.1 million year-to-date 2025 compared to 2024. R&D expenses for the quarter increased by $0.8 million over the prior year and $2 million year-to-date compared to 2024. We continue to invest in internally developed software. These actions drove this increase in expense, and we allocated $2.3 million in capital for ongoing enhancements to our fintech platforms that are key to our future success. Ultimately, this resulted in a notable improvement in our operating loss of $8.1 million compared to the prior year and a $24.2 million operating loss year-to-date 2025. Transitioning to margin and profitability. Fintech non-GAAP gross margin for Q3 was 68% compared to 97% in Q3 of last year. The decline is primarily related to revenue mix and the growth in our lower-margin payment processing revenues. Our GAAP operating loss from continuing operations for the quarter was $9.7 million, a $0.6 million improvement from the $10.3 million in the same quarter of 2024. Moving on. Net loss for the quarter was $12 million compared to a loss of $13.1 million for the same quarter of 2024. The net loss on a per common share basis was $0.26 per share, a 37% per share improvement compared to a loss of $0.41 per share reported in Q3 of 2024. For continuing operations, the net loss improved from $0.27 per share to $0.22 per share in the current quarter. For discontinued operations, the net loss improved from $0.14 per share to $0.04 per share in the third quarter of 2025. Discussing cash flow and liquidity. As of December 30, 2025, PublicSquare had $12.3 million of cash and restricted cash, which included $1.3 million related to discontinued ops. Net cash used for operating activities decreased by $9.7 million during the first 3 quarters of 2025 as compared to the same period of the prior year. On our revolving line of credit that we utilized to finance our Credova credit products, we had $4.6 million outstanding on our $10 million line of credit. We made a strategic decision to retain consumer financing receivables on our balance sheet, representing approximately $3.4 million of cash flow year-to-date in 2025. We executed on this strategy to improve financial results and enhance yield of fund capital. This capital will be cycled back to cash based on the payment terms and with healthy returns. Discussing our ATM, at-the-market offering, which was established May 23, 2025, I will note that we did not utilize the ATM during Q3. Transitioning to discuss the monetization of our Brands and Marketplace segments, the company has engaged an investment bank to conduct a robust sales process of its Brands segment business. This process, I'm happy to report, is on target to reach a purchase agreement by the end of the fourth quarter of 2025. We are continuing to explore a sale or strategic repurposing of our Marketplace segment, and we will provide updated disclosures as appropriate. Coming back to expenses, we're happy to report that the company has experienced better-than-expected operating expense reductions results in its reorganization announced in the fourth quarter of 2024, realizing approximately $11 million of its expected $11 million in annualized savings. So we're well ahead of schedule in 2025. Moving on to discontinued ops. Brands driven primarily by EveryLife earned $3.7 million in revenue in Q3, which equates to 42.7% increase or $1.1 million increase compared to the prior period. Trailing 12-month revenue for EveryLife exceeded $13.4 million. Marketplace earned $0.2 million during the quarter, which was in line with management expectations. The business outlook and guidance is unchanged from our September 25, 2025, Analyst and Investor Day. Fourth quarter 2025 revenue is expected to be approximately $6 million, comprised of $2.4 million in payment processing revenue and $3.6 million in credit product-related revenue. Again, we affirm our full year 2026 revenue guidance of greater than or equal to $32 million in revenue. And so to summarize, we are growing revenue at a strong pace, maintaining healthy margins and significantly narrowing operating losses in part due to reducing operating costs year-over-year. We believe we are well positioned to deliver long-term shareholder value as we grow market share, maintain operational discipline and scale the business. Now let me hand it back to Michael for more about the exciting path forward for PublicSquare.
Michael Seifert: Thank you, James. As we mentioned, Q3 was a monumental quarter for us as a company. We have focused our business and doubled down on our fintech charter with our mission-first model in order to build a parallel economic ecosystem that serves a vast network of merchants and customers who value economic liberty. With our bundled checkout offering, including payments, credit and digital asset treasury management, paired with our leveraging of AI, DeFi, and proprietary economic modeling, we are firmly positioned to lead the values-driven next gen of fintech that is growing rapidly amid systemic distrust of legacy finance. Today, roughly 5 weeks into Q4, we are positioned exactly where we want to be. The business is exceeding expectations, and we anticipate a significant Christmas shopping season for our merchant and customer community. We will have quite a lot of exciting developments to announce over the next 7 weeks, especially regarding our soon-to-launch fundraising platform, PSQ Impact, as well as our private label credit card program. We're packing a ton into Q4 as we seek to end the year on our highest note ever, so be sure to stay tuned. We are grateful you're on the journey with us. Onward and upward. Now let's move on to Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Darren Aftahi with ROTH Capital.
Darren Aftahi: Congrats on the progress. Just two questions, if I may. Just in terms of the bundling, can you talk about both the attach rate of customers bundling and then how that's benefiting retention? And then second, on your '26 revenue guidance, can you speak to in a little bit more detail what's assumed as kind of existing products to drive that growth versus new products? I guess, said another way, how much kind of line of sight do you have in that 32% versus some of these call options on new products you're introducing?
Michael Seifert: Great questions. Thanks for joining us today. To address your first question, I will say that the majority of our enterprise clients are utilizing our bundled services. So the majority of our payments revenue is actually coming from payments clients that are also leveraging our credit offerings at checkout to drive conversion as well as our marketing services. Because that's really the trifold beauty we bring to the transaction is that we're able to not only secure your transaction via our payment processing capabilities, provide conversion tools via our credit offerings that lend to the entire credit spectrum. But also, we -- as we mentioned on our Analyst and Investor Day back on September 25, we want to help you elevate your brand message, utilizing our brand, creative storytelling and marketing capabilities. So again, the majority of our revenue generated through payments is actually with merchants who are also using our credit offering and the suite of marketing services that we leverage. And to go a little bit further on that, you asked the question of kind of what that does to retention. This makes our product incredibly sticky because we are far deeper ingrained in your business and in the operations layer of your transaction than a typical payments company would be. We are meeting with your CFO. We're having conversations with your marketing department about how to drive conversion. And when you, as a consumer, go to checkout on these sites, these merchants that we work with, you actually see multiple payment options that are all housed underneath our umbrella. And it leads to a deepening of a relationship with our merchants and ultimately, a stickiness that is hard to replicate without that bundled service. So Darren, I just reaffirm that this is truly key to our success as we move forward. Regarding revenue for 2026, I would say that the guidance that we have issued is really focused on our business as it stands today. We don't want to factor in too much of new verticals that we've talked about over the last 2 months. We're conservatively projecting those into our revenue guidance for 2026 and really want to feel confident in issuing guidance that is based on the foundation of the business as it stands today. James, I don't know if there's anything else you'd add there, but...
James Rinn: Yes. I would reiterate that our $32 million 2026 guidance is based on kind of the product set and revenue sources that we have today related to private label credit cards and some of the development in those areas. We'll update forecast accordingly in the quarters ahead as we have better visibility, but that's not really baked into the current forecast.
Operator: Your next question comes from the line of Francesco Marmo with Maxim Group.
Francesco Marmo: Congratulations on the quarter. Kind of like big picture, you already kind of touched on this, but I was curious if you could give us a bit more color around the momentum in top line. I was wondering whether it is primarily new customer addition, new customer being onboarded? Or is it more higher transaction volume from existing customers or greater adoption of your bundled offering?
Michael Seifert: Great question. Thanks, Francesco. I would say that the majority of our top line growth, the strong majority is from new customer acquisition. We've really turned onboarding on in the second half of the year. We've gotten far more efficient in our ability to move folks through the pipeline in a much more expedited manner. So the growth in top line that we have seen over the last 2 quarters as well as the growth we anticipate seeing in 2026 that we've guided towards is largely an effect of our expedited onboarding capabilities. And we are grateful that we've barely scratched the surface on our pipeline. So being able to move through that pipeline more efficiently is going to be key to our success over the next 12 months. And thankfully, we've already started to see that prove itself out. The only other thing I'd add here is that obviously, in Q4, many of our merchants are in the retail sector. So it's exciting that we get to have these newly onboarded merchants as we head into Christmas shopping season, help them elevate their brand and some of the deals they're offering for events like Black Friday or Cyber Monday, Christmas shopping season. This is sort of their Super Bowl, and so we're honored that they would invite us into the transaction layer with our bundled offering to help them drive sales toward the end of the year here. Another reason why we anticipate a strong Q4. So that's how I'd answer that. Will? James? Great. Thank you, Francesco.
Operator: At this time, I will be handing the call over to Mr. William Kent for submitted questions.
William Kent: Thank you, Angela. As the quarters passed, we've taken questions through the Say Technologies platform before the call, and we'll answer a couple of questions that were submitted. The first question is, what is the utilization level of PSQ's payment processing service? Has there been growth? And is the client base mostly staying with niche, i.e., firearms dealers? Or are you seeing more diverse businesses that are making a switch over?
Michael Seifert: Yes, I love this question. Thank you to whichever shareholder asked this. We're grateful you're on the journey with us. I would say resoundingly that our base of merchants that have joined us in our fintech offering is actually more industry diverse than I would have anticipated at this stage. We've had a wide-ranging network that has joined us in this mission, primarily focused on retail. So online retail e-commerce is our bread and butter certainly. But we've really expanded into more B2B SaaS services as well. We focused a lot on our ACH product, allowing for these business-to-business relationships to strengthen. We've really focused on the nonprofit space, and we've been able to provide a bunch of value there. We've had great opportunities in firearms adjacent verticals as well that have been referred to us by the firearm space. So our pipeline and existing merchant mix is more diverse than I would have anticipated at this stage. And I think that's a testament to the scalability of our payment stack and our multiple payment methods bundled into the checkout offering and the expansion of our TAM ultimately. We are really excited about the merchants that we get to serve. And we've built a strong foundation that we believe will catapult us to reaching that broader audience. So stay tuned on this, too. We'll continue to update The Street as we onboard new material merchants from these other verticals to kind of showcase what's possible in these spaces. And so far, we're really pleased with the progress.
William Kent: Thank you. Next question. PublicSquare stock has been volatile, suggesting investor uncertainty around long-term strategy and profitability. How is management balancing new initiatives such as crypto Treasury as a Service with the goal of achieving steadier earnings and long-term growth?
Michael Seifert: This is a great question. Thank you for asking it. So we certainly acknowledge that as we mentioned on the Analyst Day back on September 25, that from our perspective, our stock is undervalued. We really believe in the upside potential of our equity as our business continues to execute. And regarding new initiatives, our focus is to maintain the principles that guide Q3 to success. And ultimately, we believe will guide Q4, all of 2026 and our future to success, which is operating efficiency that is tied with an executional focus to drive this fintech business forward in such a way where we are able to substantially increase revenue while actually decreasing our losses and expenses. This is what we proved out in Q3, and it's what we anticipate proving out in the quarters to come. So our focus is anything that complements those principles, tight execution, lean efficiency of our operating business, constantly finding ways to improve our offering in order to drive an increase of revenue while reducing expenses, that is our focus. And to the extent that these new initiatives help to complement that and the investments we can make in these new initiatives drive value for our shareholders in alignment with those principles, those are the things that we prioritize. And so as I mentioned earlier on in this earnings call, in my comments, we are packing a ton into Q4. We've been strategically placing investments incrementally that will complete the full picture of our fintech offering, and we'll have quite a lot to announce over the next 7 weeks regarding those new initiatives but know that all of those initiatives are being deployed on the foundation of sound unit economics and a tight operational focus.
William Kent: Thank you, Michael. And for our last submitted question, back on August 12, which was our second quarter earnings, you said that you were monetizing EveryLife via strategic sale and either selling or repurposing the marketplace IP. Later, you announced crypto Treasury as a Service and partnership with IDX and said you'd implement it for your own treasury. Do you have an update on those?
Michael Seifert: Absolutely. So James touched on this a little bit in his comments, but everything we articulated on August 12 as well as September 25 is humming right along. We are indeed in the process of monetizing EveryLife via strategic sale, and we anticipate that we will be in the purchase agreement stage by the end of the year as previously affirmed. And we are pursuing the path of either selling or repurposing the marketplace IP. We are talking to multiple interested parties and also exploring the world in which we repurpose the marketplace IP and technology for the go-forward fintech business, and we'll provide announcements or updates on that process as relevant. And then regarding IDX and our overall positioning on crypto, absolutely, we are in the process of establishing our own treasury via our strategic partnership with IDX. And that ball is rolling right along anticipated time lines. So we're happy with the progress that we articulated 6 weeks ago. We've made leaps and bounds since then. And as I mentioned, Q4 is going to be big for us as we leverage these different strategies and updates to do two things: Number one, end 2025 on an incredibly high note, but also set up for a clean 2026, where our fintech focus is dialed in and that we have these monetization efforts significantly progressed upon so that we can focus on the go-forward business as we head into Q1 and Q2. James, anything you'd add?
James Rinn: No. I think you covered it well.
Michael Seifert: All right. Well, ladies and gentlemen, I believe that concludes our questions. So with that, we can't tell you how much we appreciate you joining us this morning. We are grateful that you're on the journey with us. We appreciate your interest in PublicSquare, and we hope you have a fantastic remainder of your Thursday. Thank you all.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.